Operator: Ladies and gentlemen, thank you for standing by and welcome to Liberty Media Corporation 2019 Q1 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session.  As a reminder, this conference is being recorded, May 9. I would now like to turn the conference over to Courtnee Chun, Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chun:
Gregory Maffei: Thank you, Courtnee. Good morning to all of you. Today, speaking on the call, we’ll also have Liberty’s CFO, Mark Carleton, and Formula 1’s Chairman and CEO, Chase Carey. During the Q&A, we will also be available to answer questions related to Liberty TripAdvisor. So beginning at Liberty SiriusXM, we did continue our repurchases of Liberty SiriusXM stock. From the period of February 1 to April 30, we bought an additional $160 million. If you take the effect of look-through price at which we’re buying SiriusXM, it was about $4.32 a share, which we find pretty attractive. While the discount to NAB is off from its all-time high of around almost 35%, the discount between SiriusXM and LSXM remains stubbornly high and we will continue to take advantage of it. Our ownership at SiriusXM today is about 68.6% as of April 22. Looking at our iHeart investment for a second. iHeart did emerge from bankruptcy May 1, and we received the following 17 million CCO shares, representing just under 5%, about 4.7%, of the stock; 7 million iHeartMedia Class B shares and warrants, representing about 4.8% of the stock; and 284 million of total par value of iHeart debt in a couple of tranches. We have subsequently sold the iHeart debt at a slight premium to par. We think this frees up some liquidity at SiriusXM, which will allow us to pay that margin debt or utilize it for other purposes. We will evaluate our holding of the other remaining stakes and determine what we want to do, whether we’re holders or raise cash for other purposes.
Mark Carleton: Thank you, Greg. At quarter-end, Liberty SiriusXM Group had attributed cash and liquid investments of $36 million. That excludes $62 million of cash held at SiriusXM. The value of the SiriusXM stock held at Liberty SiriusXM as of May 8 was $18 billion and we have $1.2 billion in debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt was $8.5 billion, which includes $7.3 billion of debt at SiriusXM. At Formula One Group, we had attributed cash and liquid investments of $112 million, excluding the $260 million of cash at F1. Now Q1 is typically a high watermark in cash for Formula One due to the timing and the receipt of advanced contract payments for the 2019 season. Formula One Group has attributed public market securities with a market value of approximately $5 billion as of May 8, including the inner group interest in the Braves Group and our stake in Live Nation, with $2.1 billion of attributed debt, excluding the debt at F1. Total Formula One Group attributed principal amount of debt was $5 billion, which includes the $2.9 billion of debt at F1. F1’s total net debt to covenant OIBDA ratio as defined in their credit facilities was approximately 5.8 times as of March 31, as compared to a maximum allowable leverage ratio of 8.25 times. This is a substantial reduction in net leverage ratio, but I would point out that the race calendar variances between 2018 and 2019 resulted in 22 races falling in the trailing 12-month measure for their covenant calculations versus 21 the previous year. We set a target total net leverage ratio for Formula One of five to six times bank covenant OIBDA, and I’m pleased to note these leverage ratios are for the Formula One business, not the Formula One Group. Lastly, the Braves Group had attributed cash and liquid investments of $163 million and attributed principal amount of debt of $480 million. Now, we’ll turn it over to Chase Carey to talk about Formula One in more detail.
Chase Carey: Thank you, Mark. While it’s still early in 2019, we feel good about the momentum of the business and believe we are beginning to take advantage of the foundation we built the last two years. As noted before, we evaluate our business on an annual basis, as variations in the quarterly race calendar make year-on-year comparisons difficult. In the first quarter of 2019, we had two races versus one a year ago. Nonetheless, we were pleased with our first quarter results and we are on target with our goals for the year. On the track, we are four races into the season. The results on the track so far have not quite delivered the drama or surprises hoped, with Mercedes, for the first time ever, finishing one, two, in all four races. However, it is early in the season and we believe Ferrari and Red Bull have shown the potential to take Mercedes on and the competition in the midfield is tighter than ever, with six teams battling each other week to week. And the rivalry between Lewis Hamilton and Valtteri Bottas for the top spot has the potential for some interesting storylines. A new dynamic introduced this season is the point for the fastest lap if that driver finishes in the top 10. It’s been well-received by fans and created some new excitement. This extra point is the reason Bottas leads Hamilton by one point season to date. In spite of races that did not deliver hope for on-track drama, our TV audience through four races is up 3% and our attendance is up 6%. In addition, we continue to drive strong growth on digital platforms. For example, on social media, our video views year-to-date increased 55% and minutes watched increased 83% from a year ago. That being said, we know we have to make our racing better and one of our top priorities continues to be improving the competition, action and unpredictability of our sport on the track. We are increasingly enthusiastic about the changes planned for the next two years in regulations, car design, tracks and other areas. This weekend, we hold our first European race of the season in Barcelona. And while we still have 17 races to go in this year, much of our energy and focus is on future years. We are in the process of finalizing our 2020 race calendar. We have agreements in principle on two renewals and are actively engaged on three other renewals. In addition, we’ve already announced our new race in Hanoi and construction has begun on the track and facilities. It will be a street course that is one of the most unique and challenging racetracks in the world with 22 corners and a couple of long straight aways, designed with which we have been intimately involved.
Gregory Maffei: Thank you, Chase, and thank you to all our listeners out there. With that, operator, I think, we’re ready for questions.
Operator: Yes, sir.  We’ll here first from Jeff Wlodarczak from Pivotal Research. Please go ahead.
Jeff Wlodarczak: Good morning. I had one for Chase and one for Greg. Chase, you mentioned the F1 OTT product had some technical challenges. How close do you think you all are in terms of getting those issues solved? And then have you all started to figure out ways you can differentiate the OTT product enough from what’s available on broadcast and cable to get consumers interested – more interested in that product?
Chase Carey: I don’t know. Well, I’ll answer that and you can ask Greg’s question. I mean, actually, I think we actually felt pretty good about the product. The issue that arose in Azerbaijan really was sort of unexpected, that’s the nature of these platforms. So I think you have to deal with it. But –and to some degree, the unexpected, obviously, is always troubling. But it was not in the main stack of what we’re trying to build there. I think that probably – the unexpected will occur occasionally, but I think we feel – felt we made pretty good headway. We’re not far enough along to have – sort of say, there won’t be another problem, but the problems before that had been probably quite manageable. These things aren’t perfect and it will probably still take us another year to get all the small bugs out of it. But the significant glitch we had there was really something outside the core of what we’ve been building in the platform. And so we need to make sure we’re looking at it in a wider context. But I think the core of what we expected to be in the platform, I think, we actually feel is functioning pretty well, not perfect, but pretty well. I think in terms of the content, I think we said before. I think getting the content experience – and content includes video, data, expanded, I think probably, realistically, is a two to three-year process and I’m sure we’re two years in. Some of that takes time to build on data, in terms of building some of that and making it accessible to consumers. Some of the expanded data that we think will be interesting and compelling to them is still a work in progress. So we certainly have forms of our content, sort of broadly defined that we will be adding at the end of this season that we’re working on now. We still, clearly, have not tapped in any – really at all into things like the archives, where I think you want to have the great race of the 1990s, great race of the 1980s, great finishes, great passes, those sorts of things, in a digestible form, really isn’t there. So there’s still a lot of work going on to expand and build the content and honesty, probably never stop it. But I think to get the content sort of where we want it to be and I guess what I’d call Phase 1, we’ve got a fair amount on the – that we’re working on now, and so it’s probably between the beginning of next year and the beginning of the following year that we really get to sort of to – sort of the Phase 1, what we feel is the over-the-top product that we probably envisioned going into it. And that time table is probably one that’s not – that’s largely maybe – I think, we initially probably thought we could get there in two years. I think some of that – obviously, last year, we were a bit behind. So probably what initially we thought we’d get there in two is probably more likely in three. Starting with, again, we didn’t get the platform launched to begin the 2018 season. So, I think we’re getting there, dealing with the problems always can set you back a little bit. But I think we actually feel we are making headway and feel we’re getting to where we plan and hope to be.
Jeff Wlodarczak: Thanks, Chase. And then, Greg, I was hoping you could shed some light on why you, I guess, ultimately decided to walk from the Fox Regional Sports Net. I mean, the market, at least, based on what Sinclair stock has done since they made that deal, has seemed to think it was a pretty inexpensive price. So if you could shed any light there, that would be helpful?
Gregory Maffei: Yes, Mr. Wlodarczak. The – look, I think on – those RSNs are very interesting properties. They clearly have a lot of visibility and high-profile aspect. They’re also products that I think I’ve said before, I have a view and always happy to let Chase comment as well, because he has got a little experience with these. They have risk in that they are among the most expensive programming on a per engaged viewer basis than most MPVDs look at. So unless you had confidence, you could get sufficiently long contracts with MPVDs to ensure time and pay on rates that would be sufficient to ensure that, as there’s potential cord-cutting and cord-shaving, you would – you could get enough of your capital protected, we weren’t willing to go there. I think Sinclair was willing to extend themselves further than we were. They obviously have an asset in retrans. It is, to my mind, a little bit of a perversion of public policy that we were trying to ensure that cable companies weren’t charging for free broadcasts is now being given leverage to somebody like Sinclair to create leverage to ensure carriage of RSNs. But that’s for greater minds in Washington, D.C. to worry about. But that perversity has led to giving Sinclair, probably, an edge. I do think the market reaction is way overdone. These are interesting properties, ones we were interested in, but ones that are not without risk and we’ll see how it plays.
Jeff Wlodarczak: Thanks, Greg.
Operator: We’ll move to the next caller in the queue, Amy Yong from Macquarie. Please go ahead.
Amy Yong: Thank you, and good morning. I guess two questions as well. First on Formula One. Chase, can you talk about some of the sponsorship and advertising activity that you’re seeing? Is there a healthy pipeline? And can you talk about some of the conversations that you’re having with interested parties? I think a lot of us look at the Live Nation opportunity and we think about double-digit growth, should we expect a similar or even faster pace of growth for Formula One? And then, Greg, SiriusXM stock has been under pressure since the Pandora deal. Are you surprised by the market reaction? And what do you think investors are missing or looking for? Thank you.
Chase Carey: So, Amy, I’ll the address the sponsorship first and then Greg can answer the second part. I think the sponsorship – I guess, there’s a positive and a negative. Actually, I think the pipeline and the interest, we feel great about. I mean, I think in the last month, I’ve had – and they were not first meetings – follow-on meetings with – at a very senior level with three different potential new sponsors for major sponsorships. So I think the interest, we actually feel great about. We’ve got more – we’ve got an array – a long list of meetings. I think people increasingly enthused as we tell the story around the sport. So, I think that the activity around it and the energy around it and the interest in it, I think we feel very positive. I think the challenge – there’s no question the sponsorship world is probably tougher than it was a few years ago. I guess, I said before, I think for anybody who’s not Google or Facebook, the broader advertising world is probably more challenging. I think we also probably needed to do – underestimated the job of telling the stories of Formula One. The story hadn’t really been told about Formula One. So, we were probably starting from closer to a square one when we were reaching out to new sponsors of educating, informing and creating excitement around it. So that’s taken time to connect and tell the story and build that interest as we go forward. So – and I think, also, I guess probably the third factor you have today is sponsors want much more uniquely tailored products. They want – they don’t want to just buy signs on a wall. They want to have a relationship that identifies their message and their product uniquely with the sport, so that there is a real tie, and part to do that, we need to create more capabilities. So whether it’s technical capabilities like virtual advertising or Esports or conferences or fan events, all of those give us more ways to create unique offerings for those sponsorships. So I think probably, I think, it’s fair to say the sponsorship world has probably been more challenging than we would have looked at it – when we would have expected it to be a couple of years ago for those reasons. I actually feel good about the headway we’re making and the level of interest. So I think we feel the future is promising for us to continue to really get the sponsorship portfolio to where it should be, because, clearly, we still have categories and opportunities that we can take advantage of. And as we educate and meet with some of these, I think, the interest again is encouraging to us. So, yes, it’s – yes, we certainly have room and expectations for some real growth there as we go through the next few years.
Gregory Maffei: Great. On the SXM stock, Amy, I think implicit in your question is the idea that the market has unfairly punished the SiriusXM for the purchase of Pandora and I would tend to agree. If you look at what’s happened, we’ve moved from a condition where Pandora was losing money to where it is now cash and earnings positive. The purchase of that, because we issued stock at about $7 a share and effective by this quarter or next quarter, will have bought back all that stock that we issued at more like $5.75 or $6 a share. We pretty much cordoned off that the cost of Pandora and the stock is down far more than the cost. And it ignores what we believe is the strategic benefit that Pandora can offer the company in terms of leads on new customers, ways to provide new content across our limited channels that we have available on satellite, a whole host of flexibility to go between good, better, best, share the content, as I mentioned, and expose new audiences to SiriusXM content and vice versa. So we think there’s a lot of strategic benefit and we’ve turned it from a potential money loser into a break-even or better company already with lots of long-term upside. The market was probably looking for its focused perspective on share repurchase only at SiriusXM, but I think it’s a mistake. We made a good strategic move, in my judgment, was relatively low risk, both in terms of what capital was outlaid and what it is currently burning or not burning now and it gives them a lot of strategic upside.
Amy Yong: Thank you.
Operator: We’ll move next to Vijay Jayant from Evercore ISI.
James Ratcliffe: Hi, it’s James Ratcliffe for Vijay. Two, if I could. One for Chase and one for Greg. Sorry, Mark. For Chase, given your experience thus far with F1 TV, how has this, if at all, affected your decisions and thought process about whether it’s better to keep digital media rights or license those to a third-party distributor? And, Greg, on iHeart, you mentioned that you sold off the iHeart debt, but you still have the iHeart and CCO equity. How do you think about the criteria for deciding whether those are strategically valuable or just makes sense to monetize them? Thanks.
Chase Carey: Yes, I guess, I mean, I guess what I’d say – and, again, I’ll go first since you asked my question first. I think with F1 TV, I don’t think we’re trying to actually make that pre-judgment. I think it is important to have that vehicle and have some degree that direct control of our destiny and the ability to develop that area of the business. But I think the digital arena is changing so much and growing so much important. I think you sort of want – what we’re really doing is meeting and trying to engage with everybody in the space, whether it’s traditional broadcasters creating digital platforms or digital players coming into it with their own plans and our own initiatives and make sure we optimize it with both a short and a long-term view. And I think having that flexibility to decide what is the right mix and match – and to some degree, we’ve got to figure out what are those opportunities drill down far enough and get into deep enough discussions to make sure we’re really optimizing what we think is the value of the content we have. So I think having it as a part of the portfolio, I think it’s important. How it mixes with the rest of this stuff, the rest of the elements in our portfolio, I think is something that we have to analyze and evaluate as we continue to engage with, again, existing television partners and players in the digital space who are clearly wanting to be bigger players for content like ours. We think it’s a great opportunity, but I think we don’t want to, again, pre-judge what’s the right way. But I think it’s important for us to have. Again, I guess what I call again the flexibility to optimize it overall.
Gregory Maffei: And, James, on the iHeart equity and the CCO equity, we both look at the fundamental valuations there and optionality. And, in particular, in the case of iHeart, as you know, we previously thought that could be an interesting company to be more associated with – have a larger investment in. So we will watch the progress. We congratulate Bob and Rich Pressler  on getting it out and we’ll see how they do. And we’ll watch both the economics of the underlying equities and our potential to do something more.
James Ratcliffe: Great. Thank you.
Operator: David Karnovsky from JPMorgan, your line is open.
David Karnovsky: Hi. Just on the F1. Chase, on the calendar potentially going over 21 races, how do you balance that expansion against the potential team budget cap, which would limit spending? And would more races require any adjustments to your promoter agreements in order to optimize the calendar? And then just one for Mark. In the event Formula One, post the key negotiations, moved to a greater – moved a greater portion of the prize fund payments to a fixed as opposed to variable component, would that lead you at all to rethink your target leverage range? Thanks.
Chase Carey: I didn’t understand the promoter aspect – the promoter angle you were addressing on the question as it related to.
David Karnovsky: Yes. To expand the calendar at all, do you have to basically get buy-in from the promoters in order to move races around and optimize the calendar?
Chase Carey: Not really, no. I mean, we have a few races that clearly have places on the calendar. Monaco, that’s a place that is pretty established, Abu Dhabi is the last race, Australia is the first race. So you have – but you have those sorts of things and you have a few that, I mean, for weather and other reasons, will be somewhere in the calendar. Bahrain’s not going to be in the middle of the summer. But we have enough flexibility there, and so I think managing the promoters really not an issue. I think, as it relates to the teams, what we’ll probably is, you can sort of do the math, it’s not that complicated to do the math. They probably make some adjustment for if you go above 21. We haven’t finalized this, so we are discussing things like this. That’s a pretty mechanical issue to address and, ultimately, is not – there’s freight and other things that come in to incremental races, but you can bracket those pretty easily. So I think addressing those issues, I think, a pretty – from a team perspective and a cost cap perspective and the like, I think, we’re trying to be pragmatic about it. But I think they’re manageable and pretty mechanical.
Mark Carleton: Yes. In terms of the leverage, we’re obviously – we’re very confident with where the Formula One Group is now on leverage and we pay close attention to the discussions and scenarios that may come about. I want to remind everyone, a huge percent of our revenue is contractual and flows in. So I think, we’re very comfortable with where it is and we’re very comfortable that we’ll be able to manage it within those range – within the balance of where we want to be.
David Karnovsky: Thank you.
Operator: Your last question today will come from John Tinker from Gabelli. Please go ahead.
John Tinker: Thank you. Two brief questions. Jim Meyer has extended his contract for another year or you extended his contract. As the year goes by fast, how are you thinking is the leadership or what kind of leadership will you want in Sirius? And secondly, more of a technical question on the Braves. Are you including the $200 million investment the spring training facility? I think it’s costing $125 million.
Gregory Maffei: Yes. I’m going to let Mark comment a little more on the Braves’ spring training facility. But I will note, we received quite a lot of capital from local authorities to help pay for that spring training facility. So our net number is less than that, but I’ll let Mark come with the full number. On Jim Meyer, I think, Jim Meyer, who is doing an unbelievably good job and I want to keep as long as he can walk and talk and act sharp, which seems to be many years ahead of him. I think right now in his fourth renewal and I’m very confident that we will continue to have Jim for a longer time, partly because Jim is totally engaged and embraced on Pandora and excited about the prospects. He became as big an advocate for Pandora as anybody, if not the biggest, and wants to see that work and succeed and is on that path. So I think we have more time with Jim than the one-year extension would lead one to think. And as I did note, I think we’re on his fourth extension. So I’m confident we’ll have Jim for a longer period.
John Tinker: Great.
Mark Carleton: Yes, the – and I think, John, the $200 million you’re talking about does not include the spring training facility, that is just for the Battery.
John Tinker: Okay. Thank you.
Mark Carleton: But the spring training facility’s net is not a huge number net that we’ve received from the local authority, tens of millions, low tens of millions.
Gregory Maffei: Yes, tens of millions, not big dollars.
John Tinker: Thank you.
Gregory Maffei: I think that’s it, operator, and thank you to all our listening audience and questioners today. We look forward to speaking with you next quarter, if not before at some of the conferences ahead.
Chase Carey: Thanks a lot.
Operator: That does conclude today’s teleconference. We thank you all for your participation.